Operator: Welcome to the Ocwen Financial Corporation Second Quarter Earnings and Business Update Conference Call. Our host for today's call is Dico Akseraylian, Senior Vice President, Corporate Communications. [Operator Instructions] I would now like to turn the call over to your host. Dico, you may begin. 
Dico Akseraylian: Good morning, and thank you for joining us on our Second Quarter 2021 Earnings and Business Update Call. Please note that our second quarter earnings release and slide presentation are available on our website. Speaking on the call will be Ocwen's Chief Executive Officer, Glen Messina; and Chief Financial Officer, June Campbell.
 As a reminder, the presentation and our comments today may contain forward-looking statements made pursuant to the safe harbor provisions of the federal securities laws. These forward-looking statements may be identified by reference to a future period or by use of forward-looking terminology and address matters that are, to different degrees, uncertain. You should bear this uncertainty in mind when considering such statements and should not place undue reliance on such statements.
 Forward-looking statements involve assumptions, risks and uncertainties, including the risks and uncertainties described in our SEC filings including our Form 10-K for the year ended December 31, 2020, and our current and quarterly reports since such date. In the past, actual results have differed materially from those suggested by forward-looking statements, and this may happen again. Our forward-looking statements speak only as of the date they are made, and we disclaim any obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.
 In addition, the presentation and our comments contain references to non-GAAP financial measures, such as adjusted pretax income and adjusted expenses, among others. We believe these non-GAAP financial measures provide a useful supplement to discussions and analysis of our financial condition and an alternate way to view certain aspects of our business that is instructive. Non-GAAP financial measures should be viewed in addition to and not as an alternative for the company's reported results under accounting principles generally accepted in the United States. A reconciliation of the non-GAAP measures used in this presentation to the most directly comparable GAAP measures may be found in the press release and the appendix to the investor presentation available on our website.
 Now I will turn the call over to Glen Messina. 
Glen Messina: Thanks, Dico. Good morning, everyone, and thanks for joining us. If you can please turn to Slide 5, we'll cover some highlights for the second quarter.
 I'm really proud of what our team accomplished in the second quarter and appreciate all their hard work. Adjusted pretax income was consistent with our expectations and with the past 2 quarters despite continued margin compression in the quarter. And more importantly, adjusted pretax income for the month of June reflects substantially improved earnings performance with annualized adjusted pretax ROE of 34%. And June Campbell, our CFO, will cover that in more detail a little bit later.
 We accomplished a lot in the quarter: record servicing additions and seller growth; improved scale in servicing and originations; cost reduction; strong operating execution; growth in higher-margin channels, services and products. All of this is giving us really strong momentum. We believe the month of June was a pivot point for us, and our accomplishments and our planned call rights transactions are a catalyst for a step change in second half adjusted pretax income. The previously announced RMS platform acquisition will help us expand our presence in reverse mortgages and we believe uniquely positions us as the only full service provider in this space, creating another new growth opportunity for us. And finally, we continue to navigate a volatile and unpredictable environment.
 And let's turn to Slide 6 for a bit more about the environment. Industry volume levels continue to be robust versus historical levels, so both forward and reverse. The average of the Fannie Mae, Freddie Mac and MBA forecast for industry volume remains constant or consistent with levels projected at the start of the year. Reverse mortgage endorsement volume increased 21% for the first half of 2021 versus the same period in the prior year, and we are certainly a beneficiary of this growth.
 We're dealing with incredible interest rate volatility. This time last year, the 10-year treasury rate peaked at roughly 60 -- 56 basis points. It peaked at about 174 basis points in Q1 and now sits at roughly 118 basis points. So as expected, interest rates are influencing volume, margins and MSR values. Origination margin compression progressed as expected in the second quarter. Margins seemed to have stabilized during June in the channels that we're participating in. And we're seeing strong bulk volume, and the pace of subservicing RFPs are accelerating. MSR values are up versus last year but down quarter-over-quarter. June originations generated MSRs with projected lifetime [ owned ] cash yields ranging between 9% to 13% before secured leverage or over a 20% return after secured financing.
 There were several changes in the GSE programs. We expect the changes involving limits to their whole loan acquisition channel and explicit additions to third-party originations. Loan level price adjustments will shift volume to aggregators and direct co-issue structures, and we participate in these channels. Lastly, regulatory focus is intensifying. I think that's as expected. And the focus seems to be around convenience fees, capital requirements, forbearance compliance and foreclosure moratoria, which has been extended through year-end with certain exceptions.
 Let's turn to Slide 7 for some highlights on our 2021 objectives. We continue to make good progress on our key objectives for 2021. Again, I'm proud of how our team is executing. We're generally on track or, in some cases, ahead of our targeted objectives. We've closed more than half our servicing additions target for the year. Recapture rate continues to improve. Customer satisfaction is improving, and we're successfully executing our revenue diversification plans. Assuming interest rates are consistent with July month end levels, industry volume is consistent with the industry forecast and we successfully execute our plans and there's no material change in the legal and regulatory environment, we believe we are on track to deliver low double digit to mid-teen after-tax ROEs mid-2021 and positive GAAP income for the full year.
 Please turn to Slide 8, and we'll cover some of the highlights on our key originations objectives. Originations is delivering really solid progress, again, in the second quarter. We closed $69 billion in total servicing additions, and every channel is delivering really strong double-digit growth year-over-year. $51 billion of bulk purchases were closed in June or funded in June. The servicing transfers on August 1 for our TCB transaction and September 1 for the AmeriHome transaction. Unfortunately, until these portfolios board, we are incurring the internal staffing costs as well as interim subservicing fees. But obviously, that will stop -- the interim subservicing fees will stop once we transfer it onto our platform. We will start marketing for recapture when these portfolios board. Excluding bulk, we had $17 billion of flow channel volume and subservicing additions. That's up 21% over last quarter and almost double year-over-year.
 As I mentioned earlier, subservicing activity is robust. We were awarded roughly $14 billion in new subservicing opportunities, including RMS, and our top 10 enterprise sales prospects represent $76 billion in additional potential business. Consistent with our plans going forward, bulk and flow will be redirected to MAV in Q3 per agreement, again, which will help us grow our subservicing and portfolio recapture services. Seller growth was really strong during the quarter. Our seller base was up 69% quarter-over-quarter, up 150% -- 56% year-over-year due to organic seller additions and the TCB seller integration, which finished in June. Best Efforts and Ginnie Mae PIIT were launched in the second quarter as we had expected, and we're on track to launch our nondelegated services in Q4.
 We continue to make good progress on our recapture objective. Recapture rate is up 4 points quarter-over-quarter and 10 points year-over-year. And probably more importantly, in the second quarter, we exceeded our 30% recapture objective on our government servicing, reverse servicing and PLS portfolios, and we continue to make really strong progress in GSE recapture. Again, here, our originations team is making terrific progress against their objectives, and I'm really proud of what they're delivering for us.
 Let's turn to Slide 9, and we can cover some of what we're doing in margin expansion. In consumer direct, where pretax profitability is a big multiple, 21x that of correspondent, volume has more than doubled year-over-year. As we grow our servicing portfolio, the marketing-eligible population for recapture opportunity continues to grow as well. This population grew 49% year-over-year, and we expect it to increase another roughly 85% after all our bulk additions board. So this gives us a very robust population of potential consumers to solicit for recapture services to fuel growth in our consumer direct channel.
 Reverse volume is up 47% (sic) [ 37% ] year-over-year. Pretax income in reverse originations is, on average, about 6x that of forward. And in addition to growing overall reverse volume, we are focused on driving retail originations, which are the highest margin in reverse. Retail reverse volume is up 150% year-over-year in the first half as compared to the same time last year.
 We're also focused, as we mentioned earlier, on growing Ginnie Mae and our Best Efforts, which, again, have higher margins than correspondent lending mandatory and GSE MSR flow delivery channels. Again, good progress here by the originations team. I'm excited about what they're doing and excited about the potential for our margin expansion objectives.
 Let's turn to Slide 10 to cover some highlights on our servicing business. Continuing to improve servicing cost and customer experience are key objectives for us, and the team is performing well. To achieve these objectives, we are focused on moving the needle in 4 key areas, that being technology, process simplification, scale and portfolio composition. The results have been very good so far. Overall, servicing operating costs are down 8% quarter-over-quarter, and we've already achieved our full year target for servicing costs as a percent of UPB for 2021.
 Technology is a big driver for us, and our technology agenda has a 3-part focus: reducing cost, improving execution and improving the customer experience. Yes, we believe our actions to improve client, borrower and investor experience are critical elements to support our growth and recapture rate objectives over the long run. And with technology as the enabler, we can reduce cost and improve execution at the same time.
 In terms of scale, we've increased our total servicing UPB 15% in the quarter and -- I'm sorry, UPB [ to better ] distribute our fixed cost. And in terms of portfolio composition, increasing the percentage of agency loans is helping to increase average loan balance and decrease delinquencies, and both those trends will improve our ratio of operating expenses as a percent of servicing fees.
 So let's turn to Slide 11 to review our servicing operating execution. Servicing operating performance continues to exceed industry benchmarks in several areas. Average speed of answer and call abandonment rate continue to outperform the industry average as reported by the MBA. We are laser-focused on supporting borrowers who are exiting forbearance and helping them understand their options. We do believe the best path for homeowners, communities and investors is to find what works within investor guidelines to keep a homeowner in their home. 
 We continue to outperform the industry, as reported by the MBA, relating to the percentage of borrowers with an agency loan who exit forbearance with a reinstatement or loss mitigation solution in place. Between September 2020 and June 2021, roughly 93% of our borrowers who exited forbearance had a reinstatement or loss mitigation plan in place versus 83% for the industry. That means if you look at the inverse, only about 8% of our borrowers on forbearance have exited forbearance without a reinstatement plan or loss mitigation solution versus over 17% for the industry. 
 Based on this very same MBA data, we've -- we're delivering about 20% more loss mitigation solutions for our customers versus our peers. And again, I think this demonstrates how our servicing capabilities deliver superior performance for homeowners, communities and investors. Lastly, Net Promoter Score is up 13 points from the second quarter of 2020, down a little bit versus first quarter due to an increase in the volume of new loan boardings and seasonality. 
 Let's turn to Slide 12 and cover some highlights on our servicing revenue diversification initiatives. The focus here has been largely on harvesting modification gains on Ginnie Mae early pool buyout opportunities and call rights on PLS loan pools that we service. We did sell our first call rights transaction in July. We expect settlement in September with servicing transfer in November. The combination of low interest rates, tight credit spreads and home price appreciation are creating a really strong environment for call rights. We're now conducting diligence for our fourth quarter transactions, and we're looking at several potential opportunities to execute in 2022. Considering our third quarter transaction, we believe we can realize over $20 million in call right gains this year versus the original estimate of $4 million to $8 million. So that's up nicely from our prior estimate. 
 Regarding Ginnie Mae buyouts, since we do not enjoy bank or bank-like funding costs, we do not buy all delinquent Ginnie Mae loans out of pools, we buy them out based on the expectation of a successful loan modification. Our Ginnie Mae buyout program has been limited this year due to the continued extension of forbearance relief and foreclosure moratoria. Year-to-date second quarter, we have realized $8 million in EBO gains, and we now estimate roughly $15 million to $20 million total for the year versus the $22 million to $32 million previously estimated. That said, when you look in total between call rights and the EBO gains, we're at least on track, maybe a little bit better than what we had originally anticipated. We see the realization of the EBO modification and re-pooling gains, while lower this year, it's really just a delay and a timing issue. And our expectation is we believe the opportunity will roll over into 2022 as well. 
 As well related to revenue diversification for servicing, let's turn to Slide 13, and we could talk about the RMS acquisition. As part of our efforts to diversify servicing revenue sources during the second quarter, we executed an agreement with Reverse Mortgage Solutions and their parent company, Mortgage Assets Management, or MAM, to acquire the reverse servicing platform and real estate owned businesses. Upon closing, we'll become the subservicer for RMS and MAM under a 5-year subservicing agreement, which would roughly double our reverse servicing portfolio. 
 The RMS platform provides high-quality reverse servicing capabilities with experienced people and customized technology, and the 5-year servicing agreement enables an expanded partnership with Waterfall Investments, the parent company of MAM, and potential opportunities for additional growth. The transaction supports our strategy to stand up an in-house reverse servicing capability and to expand our subservicing product offering to include forward servicing, small balance commercial and reverse mortgages. We do expect the acquisition to be mildly dilutive for 2021 largely due to integration and restructuring costs. But we do believe it will be core pretax income accretive beginning in 2022 with -- starting in the second half 2022 pretax income margins of about 14% and over 20% after-tax ROE, and this is before the in-sourcing of servicing out our reverse portfolio and any incremental growth opportunities. 
 With the closing of this transaction, we will be the only reverse mortgage company that originates, securitizes and directly services reverse mortgages, providing our customers and partners with an end-to-end solution. We believe this enables significant growth potential and further solidifies our position as a premier provider in the reverse mortgage space with a differentiated model. The transaction is expected to close in the fourth quarter of this year, obviously subject to regulatory approval and other customary closing conditions. To wrap up here, look, we're excited to partner with Mortgage Assets Management and Waterfall Investments in the reverse mortgage market, which we believe is a long-term growth opportunity for us.
 And with that, I'll turn it over to June Campbell, our CFO, to discuss in more detail our financial results for the quarter. 
June Campbell: Thank you, Glen. Please turn to the next slide. We reported $6 million in adjusted pretax income, positive results for the seventh consecutive quarter. As you can see, our results have been stable over the last 2 quarters through the moratorium environment. Net income in the quarter was a $10 million loss after $28 million of unfavorable notables largely driven by $15 million in net MSR fair value change driven by interest rate volatility and $13 million in transaction-related legal expenses. 
 On the top right bar chart, you can see that we're delivering on our growth objectives and cost leadership. Revenue increase quarter-over-quarter is largely due to higher servicing fees on $55 billion in higher servicing additions primarily from the $51 billion in bulk purchases in June. Because these bulk purchases funded in June, we generated one month of revenue and incremental expenses in the quarter, and I'll show you in the next page June reflected as a full quarter. 
 Operating expense as a percentage of average UPB was favorable quarter-over-quarter after absorbing cost to maintain capacity for both the new bulk volume that boarded in June and, as I mentioned last quarter, excess cost during forbearance and moratorium in expectation of borrower needs. Equity increased to $447 million after $10 million in GAAP net loss and $16 million of additional paid-in capital from issuance of common stock and warrants net. Book value per share is $49. 
 Please turn to Slide 14. June actual results reflected improved earnings performance with annualized adjusted pretax return on equity of 34%. June reflects the first full month of performance, including all servicing additions for the quarter. The $69 billion of servicing additions in the quarter generate meaningful incremental revenue compared to the first quarter, and we are realizing good cost leverage. Going forward, we expect actual results to reflect net favorability from a number of items, although timing of each may vary. 
 Relating to our bulk purchases, this would include float income, ancillary fees, recapture income, a reduction in interim subservicing fees, elimination of EPO protection and incremental MSR interest expense. Relating to our business initiatives, we would expect benefits from our expected call rights and EBO income, the revenues and costs resulting from our origination growth initiatives and the net effects of transitioning flow volume to MAV. Also, we expect actual results may reflect impact from changes in interest rates, potential notable items and taxes. The June actual results reflect a strong earnings base going into the second half. 
 Please turn to Slide 15. This slide demonstrates that our balanced business model is operating well with originations growth replenishing our servicing portfolio and offsetting runoff. On the top half of the slide, you can see that our total origination volume was up across all channels, approximately 5x quarter-over-quarter and 8x year-over-year. Origination weighted average margins are normalizing as expected from a high of 149 basis points in the second quarter of 2020 to 54 basis points in the second quarter of 2021. We experienced some margin reductions in the higher-margin consumer direct and reverse channels and overall mix shift to lower-margin third-party originated channels, which drove reduction in adjusted pretax income. The reduction in margin was in line with expectations. And as Glen mentioned, we launched Best Efforts in the month of June, Ginnie Mae PIIT earlier in the quarter and are target to launch [indiscernible] in the fourth quarter. We expect these to contribute higher margins. 
 On the bottom half of the slide, you can see results in our servicing segment from building scale. Second quarter servicing UPB is $237 billion, a $58 billion increase over Q1. Owned servicing UPB increased $58 billion to $157 billion, and NRZ portfolio concentration reduced from 53% to 26% year-over-year. Servicing pretax income of $4 million was largely driven by higher servicing fees from higher UPB in the month of June. Again, it's worth noting that we did not have revenues and expenses from our bulk transactions reflected in servicing for a full quarter. 
 Please turn to Slide 16. On the top half of the page, you can see our liquidity position supports our planned investment purchases and growth in originations. We ended the quarter with $257 million of cash and available borrowing capacity after $147 million in MSR investments. We've continued cash management discipline to drive lower borrowing and interest expense during the quarter. On the bottom half of the page, you can see that we've reduced our pretax weighted average cost of capital by 70 basis points from the fourth quarter of 2020 with lower asset-based financing rates and improved advancing leverages -- levels for MSRs, which offset higher corporate debt cost. 
 Please turn to Slide 17. This is the road map to meet our expectation to generate positive GAAP earnings with low- to mid-teen after-tax ROE. This assumes a stable interest rate environment and no adverse changes in market conditions or legal and regulatory environments. The page is broken down by our operating objectives and the originations, servicing and corporate segments. 
 A few highlights. We reflect the full quarter impact on the bulk transactions. Flow MSR volumes redirected to MAV starting in Q3 to grow performing subservicing. And this results in a mix shift to higher-margin channels and as a result, higher expected originations revenue margin. The sale of the call rights transactions closed in July, and we expect EBO transactions in the second half of the year. And segments continue to achieve productivity targets, achieving cost leadership and quality operations.
 Now I'll turn it back over to Glen. 
Glen Messina: Thanks, June. And if we could please now turn to Slide 18. Look, we're executing a set of balanced objectives that are aligned with our strategy of operational excellence, and that's to achieve balance and diversification; scale and low-cost, best-in-class operational performance; and leading client, investor and consumer satisfaction. We believe these elements are critical for our long-term success and value creation for our shareholders. 
 I'm proud of what the team accomplished in the second quarter and appreciate all their hard work. Again, adjusted pretax income was consistent with our expectations and the past 2 quarters despite continued margin compression. And adjusted pretax income for the month of June reflects substantially improved earnings performance with annualized adjusted pretax ROEs of 34%. We accomplished a lot in the quarter, record servicing and additions and seller growth, improved scale in servicing and originations, cost reduction, strong operating execution, growth in higher-margin channel services and products, all of which is giving us strong momentum. The month of June was a pivot point for us, and we believe our accomplishments and our planned call rights transactions are a catalyst for a step change in second half adjusted pretax income performance. 
 The previously announced RMS platform acquisition will help us expand our presence in reverse mortgages and uniquely positions us as the only full service provider in the space, creating another new growth opportunity for us. And finally, we continue to navigate a volatile and unpredictable environment. 
 I'd like to thank and recognize our Board of Directors and our global business team for their hard work and commitment to our success. I'm proud of what our team has accomplished in the second quarter and appreciate all their efforts.
 And with that, Ross, [ we're ready ] to open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from Eric Hagen from BTIG. 
Eric Hagen: I got a couple of questions. How much bulk MSR do you guys think will be coming to market now the origination pipelines are showing up again and the faster [ speeds in the foreground ] again? How have your expectations for bulk volume changed? Or what does that backdrop kind of mean for Ocwen? The second question is on the reverse servicing and the kind of scale you guys think is necessary to really just be most effective there, really just to kind of properly manage the liquidity risk and without detracting from the stability that you're really aiming for in other areas of the business. 
Glen Messina: Sure. So Eric, look, yes, the bulk market, as we said, yes, for the first half of the year was pretty robust, and we expect it's going to continue to be robust for the second half of the year. Again, I think with rates coming down and -- the 10-year treasury rate coming down and mortgage interest rates coming down, probably not as much. Margins have opened up a little bit, and we are seeing increased origination activity across the industry. So I do think bulk is going to be a robust channel for the second half of the year. And that's the beauty of our partnership with MAV. We have the ability -- we will be looking to build the subservicing base in MAV by participating in bulk transactions. In terms of on-balance sheet, we've achieved our full year bulk volume objectives in the first half of the year. But obviously, we'll always look at capital allocation and performance in our other channels to see if it makes sense to put more on the books. 
 As it relates to reverse, the beauty of the transaction that we're doing with RMS is it gives us a reverse platform to, again, create balance in our reverse servicing portfolio. So based on the UPB in RMS, the RMS subservice that we're taking on, we'll, again, have about a 50-50 balance between owned reverse servicing and subservice reverse servicing. And our expectation is we want to continue to grow both sets -- both of those portfolios. It's over an $80 billion subservicing market out there for reverse mortgages with limited competition. So we do think there's an opportunity to continue to grow that piece of our business. And again, I think if our focus has always been balance and diversification, and that's consistent with how we're approaching the reverse servicing space. 
Operator: Our next question comes from Lee Cooperman from Omega Family. 
Leon Cooperman: Two questions. It seems it's always mañana, but you're talking about 34% or something like that pretax return on equity. Let's say it's 20% after-tax return. Book value is $49. That would imply like $10 in earnings or something like that or close to it. We're not reporting anything like that. I realize June was a pivotal month. But are you talking about earnings at a run rate of like $10 a share in the second half of the year, which would imply $2.50 a quarter? Question one. 
Glen Messina: Okay. So good morning, Lee. Look, we do think June was a pivot point for the company. We do have our road map out there. But again, if you look at the June results page that June Campbell, our CFO, had talked about, you can see that the quarterly adjusted pretax income based on June's results is about $38 million. So obviously, there'd be tax rate effect on that. And we talked about a number of adjustments, pluses and minuses and obviously, the potential for notable transactions. But -- or notable adjustments. But again, that June run rate is, we believe, very strong, very healthy and pivots the company for the second half of the year. 
Leon Cooperman: I want to pin you down to specific. You have been saying all along that you expected to earn 20% or 15%, whatever it is, on equity in 2021. That would imply like $10 in earnings, okay? We don't have anything like that for the first and second quarter. Basically -- hold on one second. I'm sorry for the interruption. That's the problem with 2 phones. Anyway, this would imply earnings of well over $2 a share in the second half of the year per quarter. Is that what you're trying to tell people? 
Glen Messina: Lee, our guidance was for low double-digit to mid-teen after-tax ROEs mid-2021, and we're -- that guidance has been consistent for the entire year and we are reaffirming that guidance. 
Leon Cooperman: Okay. But you don't want to mention any numbers. Okay. Fine. Secondly, it seems to me just reading from afar that most of your competition is funding themselves at a 4% rate. You took on some very high-cost debt. How could you be an effective competitor relevant to your peers with such a high cost of debt versus what they have? 
Glen Messina: So Lee, no question -- no doubt about it, our cost of corporate debt is higher than our peers. But we did include in our earnings supplement, and June covered it a little bit, our -- we fund ourselves largely with asset-based financing, secured financing for our MSR servicer advances and warehouse, and that has proven to be very efficient for us. And as compared to the fourth quarter, we've substantially reduced our cost of -- all-in cost of financing and our all-in cost -- weighted average cost of capital for those assets when you take into consideration how we've improved our secured financing. So I don't think you can look at just the corporate debt. I think you have to look at the entire debt stack to include secured financing. 
Leon Cooperman: In terms of your liquidity position, your stock [ stays at about ] half of book value. From my experience, if you can earn the kind of returns on book you're talking about, we should be selling at a premium to book value. Do you have any flexibility in terms of buying back cheap equity? 
Glen Messina: Lee, look, the Board has always focused on capital allocation. Our priorities right now continue to be driving growth in the business to get the scale and cost advantage and leverage that we've talked about in terms of our key objectives for the year. Given our leverage is relatively high, corporate leverage is relatively high as compared to peers, our near-term focus has really been to drive earnings to help delever the business. So that's really been our focus near term. 
Operator: Our next question comes from Marco Rodriguez from Stonegate Capital. 
Marco Rodriguez: I was wondering what kind of synergies you guys expect to achieve in your reverse mortgage business once the RMS acquisition is completed. 
Glen Messina: Yes, Marco, the reverse platform we're picking up from RMS, again, I just want to reiterate, is a terrific platform, great people, great technology. We're excited about it. Reverse mortgage servicing is a little bit different than forward mortgage servicing, but there are functions that are comparable. And the -- one of the [ key ] places where we saw value in this transaction was the ability to take the best of what RMS has to offer and combine it with the best of what our platform has to offer and leverage our scale in those areas that are common between forward and reverse mortgage servicing. So part of how we get to the 20% return on equity and 14% pretax margins is by harvesting integration savings, so we are looking forward to that. 
Operator: Our next question comes from Drew Mackintosh from Mackintosh Investor Relations. 
Drew Mackintosh: Can you give us an update on how the TCB integration is progressing? Last quarter, you guys indicated that there was a potential to gain roughly 200 new correspondent sellers. 
Glen Messina: Yes, look, I'm really proud of both our team and the TCB employees that we hired. Everyone's done a really good job. We've substantially completed the operational integration. We've stood up and launched our Best Efforts activity. And we've integrated, I think it was over 200 clients, about 216, 218 clients from the TCB acquisition, and those clients are up and running on our platform. So Drew, it's -- the integration is largely behind us. There's always some things -- i's to dot and t's to cross. But we are -- our correspondent platform today is fully functioning with the support of the TCB people. So -- and customer base. We're excited about it. 
Operator: [Operator Instructions] And at this time, there appears to be no further questions. 
Glen Messina: Great. Thanks, Ross. And to everyone who joined the call, thank you very much for your continued support of Ocwen. Again, we've accomplished a lot in the quarter. We've got an aggressive agenda in front of us, and we're excited about the opportunities that are in front of the company, and look forward to giving you an update on the next quarter's call. Have a good day. 
Operator: This concludes today's conference call. Thank you for attending.